Operator: Ladies and gentlemen, thank you for standing by, and welcome to Charles River Laboratories Second Quarter 2024 Earnings Conference Call. Just a reminder, this call is being recorded. At this time, all participants are in a listen-only mode. After the speaker’s presentation there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to our host, Mr. Todd Spencer, Vice President, Investor Relations. Mr. Spencer, please go ahead, sir.
Todd Spencer: Good morning, and welcome to Charles River Laboratories second quarter 2024 earnings conference call and webcast. This morning, I am joined by Jim Foster, Chair, President and Chief Executive Officer; and Flavia Pease, Executive Vice President and Chief Financial Officer. They will comment on our results for the second quarter of 2024. Following the presentation, they will respond to questions. There is a slide presentation associated with today's remarks, which will be posted on the Investor Relations section of our website at ir.criver.com. A webcast replay of this call will be available beginning approximately 2 hours after the call today and can also be accessed on the Investor Relations section of our website. The replay will be available through next quarter's conference call. I'd like to remind you of our safe harbor. All remarks that we make about future expectations, plans and prospects for the company constitute forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated. During this call, we will primarily discuss non-GAAP financial measures, which we believe help investors gain a meaningful understanding of our core operating results and guidance. The non-GAAP financial measures are not meant to be considered superior to or a substitute for results of operations prepared in accordance with GAAP. In accordance with Regulation G, you can find the comparable GAAP measures and reconciliations on the Investor Relations section of our website. I will now turn the call over to Jim Foster.
Jim Foster: Good morning. I will begin by providing highlights of our second quarter performance and revised guidance. We reported revenue of $1.03 billion in the second quarter of 2024, a 3.2% decline on both the reported and organic basis over last year. The top line performance was in line with our outlook as organic revenue growth in the Manufacturing segment was more than offset by DSA and RMS revenue declines. By client segment, we continued to experience lower revenue from small and midsized biotech clients in the second quarter, while revenue from global biopharmaceutical clients increased modestly. I'll provide more details on the evolving trends within these 2 client segments shortly. The operating margin was 21.3%, an increase of 90 basis points year-over-year. The increase was principally driven by lower performance-based bonus compensation accruals in the quarter reflecting the reduction in our financial outlook for the second half of the year. On a segment basis, a higher operating margin in the manufacturing segment and lower corporate costs were largely offset by lower margins in RMS and the DSA segments. These lower accruals were the largest contributor to the earnings outperformance in the second quarter. Earnings per share of $2.80 increased 4.1% year-over-year and exceeded the implied outlook in our prior guidance by approximately $0.40. We are significantly reducing our financial guidance for the year because forward-looking DSA trend data suggests that demand will not improve during the second half of the year as we had previously anticipated, and, in fact, will decline for global biopharmaceutical clients. As a result, we are reducing our revenue outlook to a 3% to 5% decline on an organic basis this year, and non-GAAP earnings per share is now expected to be in a range of $9.90 to $10.20. We intend to partially offset the headwinds through aggressive actions to streamline our cost structure, optimize our global footprint and drive greater operating efficiency, which will enable us to limit the bottom line impact going forward. We believe taking these actions will also enable us to emerge from this period of softer demand as a stronger and leaner organization and better positioned to capture new business opportunities. Before I discuss the second quarter business segment performance, I will provide more details on these end market demand trends as well as the actions we are taking to manage through the current environment. Our financial performance to date, including a low single-digit organic revenue decline in the first half, has been largely in line with our initial outlook. However, the lack of a recovery in demand for our biotechnology clients as well as recently emerging and softening demand trends in our global biopharmaceutical client base have caused us to take a much more negative view of our growth prospects for the second half of the year. Because of this, the second half revenue growth that we previously anticipated will not materialize. And in fact, demand is expected to continue to soften for global biopharmaceutical clients in the near term. These trends for our broader biopharmaceutical client base are expected to lead to a low to mid-single-digit organic revenue decline in the second half of the year on a consolidated basis. As you are aware, most global biopharmaceutical companies have announced major restructuring programs likely precipitated by the IRA or pending patent expirations or both. And this has undoubtedly led to tighter budgets and additional pipeline reprioritization activities this year. Revenue for this client base continued to increase in the second quarter. However, proposal activity and bookings began to notably decline and diverge from biotech clients during the second quarter. We now expect demand for global biopharmaceutical clients to further deteriorate over the remainder of the year. We anticipate these trends are also likely to impact the DSA growth rate into 2025, so we are working now to reset our cost base to both withstand the pressures on our bottom line and to better position the company to when demand cycles back. Large biopharmaceutical companies are currently focused on resetting their budgets to create leaner cost structures. We expect these actions and the resulting softening of our demand KPIs will continue to cause a period of slower spending by large pharma on their early-stage drug development activities, particularly because they are more focused on their clinical pipelines at this time. We believe that these clients continue to view strategic outsourcing as a compelling solution to improve their cost efficiency and speed to market, presenting a longer-term opportunity for us once they inevitably refocus on their preclinical pipelines. In contrast to large pharma, demand KPIs for small and midsized biotech clients have stabilized and trended somewhat more favorably through the first half, reflecting the solid funding environment and favorable sentiment around interest rates. Biotech companies are our largest client base at approximately 40% of total revenue, and more than half of DSA revenue. And DSA proposals and net bookings have improved to this client base this year. We experienced an improvement in biotech booking activity in the second quarter as the higher proposal levels that we commented on last quarter have begun to translate into new business wins. While we are cautiously optimistic that these trends will lead to a future demand recovery in our biotech client base, they're also not sufficient to support the DSA revenue improvement in the second half of the year than we previously anticipated, and therefore, we do not expect revenue to biotech clients to improve from first half levels. We are laser-focused on initiatives to generate more revenue, contain costs and protect shareholder value. As I discussed earlier this year, we have already begun to enhance our commercial efforts. We are focused on optimizing our sales force to accelerate revenue growth by adjusting go-to-market strategies and being a flexible partner for our clients, focusing on selling across the entire portfolio and leveraging technology to enhance sales insights and identify selling opportunities earlier. Our digital strategy is also helping us to better connect with our clients including through our Apollo cloud-based platform to provide real-time access to scientific data and self-service tools for clients. To drive additional savings and preserve the bottom line, we will continue to aggressively manage our cost structure to ensure that capacity and head count are aligned with the current softer demand environment. We have already consolidated several smaller sites and reduced staffing levels. These recent actions and additional actions that will be implemented by the end of the third quarter are expected to generate over $150 million of annualized cost savings, which will be fully realized in 2025. We are also finalizing our EA strategy, focusing on further optimizing our global footprint, driving greater operating efficiency and leveraging our digital platform and global business services to further streamline processes. We expect to implement the initial phases of this plan before the end of this year, and we'll provide a more comprehensive update in November, including the incremental savings that these initiatives will deliver. As referenced in this morning's earnings release, we will also reinstate a stock repurchase program, and our Board recently approved a new stock repurchase authorization totaling $1 billion. We intend to reinstate stock repurchase activity before the end of the third quarter. Flavia will provide more details on this topic as well as an update on our capital priorities. I'd now like to provide you with additional details on our second quarter segment performance, beginning with the DSA segment's results. DSA revenue in the second quarter was $627.4 million, a decrease of 5% on an organic basis, driven by lower revenue in both the Discovery Services and Safety Assessment businesses. In the safety assessment business, lower steady volume was partially offset by a small benefit from price increases. The overall business trends were relatively consistent with those that we have discussed in recent quarters with the exception of diverging demand trends between our global biopharmaceutical client base and small and mid-tier biotechs. As mentioned earlier, we are beginning to see improvements in proposals and booking activity for biotech clients, but is meaningfully slowing for global biopharma clients. The combined effect has resulted in a net book-to-bill ratio that was similar to the last 5 quarters, but below 1 times in the second quarter. Gross bookings also remained above 1 times in the second quarter. And the cancellation rate was consistent with first quarter levels, which was below its peak, but still not back to targeted levels. As a result of these trends, the DSA backlog decreased on a sequential basis to $2.16 billion at the end of the second quarter from $2.35 billion at the end of the first quarter. Since we do not expect these trends to improve during the second half of the year, as previously anticipated, and because we will likely be impacted by incremental spending pressures from our global biopharmaceutical client base, we have reduced our DSA revenue outlook to a high single-digit organic decline for the full year. In the near term, we will ensure that our capacity both space and staffing are aligned with this lower expected level of demand. Looking beyond that, we will continue to speak with our clients and closely monitor for indications that clients are beginning to return their focus to their IND-enabling programs versus their recent focus on post-IND studies and for demand trends to stabilize or begin to improve across both the global and mid-tier client bases. The DSA operating margin was 27.1% in the second quarter, a 50 basis point decrease from the second quarter of 2023. The year-over-year decline reflected the impact of lower sales volume and moderated pricing, particularly in the Discovery Services business. The operating margin improved from the first quarter level, which was commensurate with sales volume, lower bonus accruals and additional cost savings generated by our restructuring efforts. RMS revenue was $206.4 million, a decrease of 3.9% on an organic basis over the second quarter of 2023. The RMS revenue decline was primarily driven by lower NHP revenue. As we mentioned last quarter, we expected the timing of NHP shipments to be a meaningful headwind to the second quarter RMS growth rate. Excluding the NHP impact, RMS revenue was essentially flat year-over-year as higher sales of small research models were offset by slightly lower revenue for research model services. For the full year, we believe the market environment will remain stable overall. So we are reaffirming our RMS organic revenue growth outlook of flat to low single-digit growth. Revenue for small models continued to increase in all geographies, particularly in China and Europe. The resilience of the research models business reflects the fact that small models are essential low-cost tools for research, which also enhances our ability to continue to realize price increases globally. Our China business has been resilient despite the macroeconomic pressures in the country as the growth rate for small research models have strengthened driven primarily by share gains associated with our geographic expansions within China. Research model services experienced a slight revenue decline in the second quarter in both GEMS and Insourcing Solutions. These trends largely reflect the overall biopharma demand environment. However, the benefits generated by clients that utilize our GEMS and IS solutions can help them overcome their budgetary pressures by driving efficiency. CRADL business model, while not unaffected by the demand environment, continues to resonate with clients who are looking for cost-effective solutions for their vivarium space requirements. There are pockets of softer demand, particularly in South San Francisco that have led to the consolidation of our CRADL capacity there. However, other biohubs continue to perform well. In the second quarter, the RMS operating margin decreased by 330 basis points to 23.1%. The decline was primarily a result of the lower NHP revenue. The timing of NHP shipments from both Noveprim and in China can lead to quarterly revenue fluctuations. And since the sales of these large models are quite profitable, the timing of shipments can have a meaningful impact on the RMS margins on a quarterly basis. However, our view for the year hasn't changed and both the RMS and manufacturing segments are expected to deliver operating margin expansion in 2024. Revenue for the Manufacturing Solutions segment was $192.3 million, an increase of 3.7% on an organic basis compared to the second quarter of last year. Each of the segment's businesses contributed to the revenue growth. As anticipated, the manufacturing growth rate was lower than the first quarter level because of a more challenging prior year comparison for the CDMO business. You may recall that we anniversaried the recovery of the CDMO business in the second quarter of last year. We expect the CDMO growth rate to reaccelerate in the second half of the year based on the current pipeline of new projects, particularly for cell therapy. As a result, we expect manufacturing organic revenue growth will be in the mid- to high single-digit range, a slight increase from our prior outlook. The competitive landscape is also undergoing a transition in certain manufacturing market sectors due to M&A or proposed geopolitical regulation, both of which should offer new opportunities to demonstrate the synergies of our comprehensive testing portfolio and win new business. The CDMO business continues to perform well and client interest remains strong. The third client who utilizes our viral vector center of excellence in Maryland received commercial approval last month, and we are also regularly adding new projects across the various phases of clinical development. Booking activity continues to improve, and the CDMO business remains on track to deliver solid double-digit growth this year. Revenue in our manufacturing quality control testing business, Biologics Testing and Microbial Solutions also continued to grow, rebounding from the more challenging market environment last year. Biologics Testing's performance was driven by its core testing activities, including cell banking and viral clearance. For Microbial Solutions, the primary driver of revenue growth was demand for our Endosafe testing cartridges. Clients have resumed their purchases of reagents and consumables as destocking activity have subsided. The manufacturing segment second quarter operating margin was 26.6%, demonstrated continued improvement with increases of 370 basis points year-over-year to 130 basis points sequentially. The improvement is largely a result of leverage from higher sales volume across each of the segment's businesses. We expect this trend will continue as the segment rebounds from 2023 and also due to the ongoing increase in the scale of our CDMO business. To conclude, it is clear that our clients are in the midst of reassessing their budgets, reprioritizing their pipelines and managing their cost structures. However, our clients will continue to seek life-saving treatments for rare diseases and other unmet medical needs. In order to do so, they will, by necessity, reinvigorate investment in their early-stage R&D programs over time. To emerge as an even stronger partner for our clients, we are working to actively manage our costs, initiate new and innovative ways to transform our business, protect shareholder value and enhance our clients commercial experience to gain additional share. To conclude, I'd like to thank our employees for their exceptional work and commitment and our clients and shareholders for their continued support. Now Flavia will provide additional details on our second quarter financial performance and 2024 guidance.
Flavia Pease: Thank you, Jim, and good morning. Before I begin, may I remind you that I'll be speaking primarily to non-GAAP results, which exclude amortization and other acquisition-related adjustments, costs related primarily to restructuring actions, gains or losses from certain venture capital and other strategic investments and certain other items. Many of my comments will also refer to organic revenue growth, which excludes the impact of acquisitions, divestitures and foreign currency translation. Second quarter 2024 organic revenue decreased at a 3.2% rate, in line with our outlook for the quarter of a low to mid-single-digit decline. However, we delivered non-GAAP earnings per share of $2.80, which exceeded our prior outlook of mid-single-digit sequential earnings growth by approximately $0.40. The majority of the earnings outperformance was driven by lower performance-based compensation expense. Continued growth in operating margin expansion in the manufacturing segment also contributed. The lower performance-based compensation expense was primarily related to adjustments to our bonus accruals and in light of the reduced outlook for the year. As Jim discussed in detail, we have significantly lowered our guidance for the full year and now expect a revenue decline of 2.5% to 4.5% on a reported basis and 3% to 5% on an organic basis, driven primarily by a softer demand outlook in the second half of the year than previously anticipated for both small and midsized biotechnology and global pharmaceutical clients. We expect DSA revenue to decline by approximately 10% organically in the second half compared to 6.9% year-over-year decline in the first half. DSA pricing is expected to turn slightly negative by the end of the year, but the largest driver of this change will be the softer demand. We will not have time to offset all of the revenue shortfall with additional cost savings at this point in the year. Therefore, non-GAAP earnings per share guidance is now in a range of $9.90 to $10.20 However, we are implementing additional restructuring initiatives to deliver further cost savings to partially offset the lower revenue and help preserve the bottom line, which will have a more meaningful impact in 2025 and beyond. As Jim referenced, we are implementing additional initiatives to drive incremental cost savings to ensure that our cost structure aligns with the current demand environment. Restructuring initiatives are expected to generate over $150 million in annualized cost savings, representing nearly 5% of our operating costs, which is an increase from our prior target of approximately $70 million. This updated target includes actions that were initiated last year through those already planned for the third quarter of this year. We expect approximately $100 million of the savings to be realized in 2024. We are also finalizing a multiyear strategy to optimize our global footprint and drive greater operating efficiency, which we believe will further our ability to protect operating margins and manage the business through this challenging environment. Furthermore, our Board recently approved a new stock repurchase authorization of $1 billion, which will add another option to allow us to strategically manage our capital allocation. We intend to commence stock repurchases under the new authorization before the end of the quarter. Our initial goal will be to offset annual share count dilution from equity awards, but we will regularly reevaluate the best uses of our capital. As M&A activity has slowed, leverage has remained low at just above 2 times and the capital intensity of our business has moderated in the current demand environment. These dynamics have enabled us to reassess our capital priorities. We will also continue to repay debt and evaluate strategic acquisitions to enhance our service offerings as we believe a balanced approach to capital deployment will help maintain an optimal capital structure and maximize shareholder value. I'll now provide details on our segment outlook and some nonoperating items. By segment, we now expect DSA revenue to decline at a high single-digit rate on an organic basis, largely due to the softer demand environment than previously anticipated. The outlook for the RMS and manufacturing segments are essentially unchanged with RMS expected to report flat to low single-digit organic revenue growth and the manufacturing segment expected to generate mid- to high single-digit organic revenue growth, a slight increase from the outlook in May. From an operating margin perspective, we expect that this year's consolidated operating margin to be slightly below last year's level as the lower performance-based bonus expense and additional cost savings will nearly offset the revenue shortfall at the margin level in 2024. On a segment basis, pressure in the DSA segment will offset expected margin expansion in both manufacturing and RMS segments. Unallocated corporate costs totaled $50.5 million or 4.9% of revenue in the second quarter compared to 6.1% of revenue last year. This improvement was driven primarily by lower performance-based compensation accruals. For the full year, we expect unallocated corporate costs will be in the mid-5% range as a percent of revenue. The second quarter tax rate was 21.1%, a decrease of 220 basis points year-over-year. The decrease was primarily due to a favorable geographic earnings mix and higher R&D tax credits. As a result of this favorability, we now expect our tax rate will be approximately 22% for the full year. In the second quarter, net interest expense was $29.8 million, which represented both a sequential and year-over-year decline. For the full year, we also expect total net interest expense will be lower than our prior outlook in the range of $118 million to $122 million. These reductions are primarily the result of shifting debt to lower interest rate geographies and continued debt repayment. As a reminder, over 80% of our $2.4 billion debt at the end of the second quarter was at a fixed rate, including $500 million that is fixed until November via an interest rate swap. In addition to lowering our interest expense, continued debt repayment resulted in gross and net leverage ratios of 2.2 times at the end of the second quarter. Free cash flow remained strong with $154.1 million generated in the second quarter compared to $80.7 million last year. This improvement was driven by lower CapEx and working capital management. Capital expenditures were $39.5 million in the second quarter compared to $67.4 million last year, which reflected the ongoing moderation of our spend in the current demand environment and a disciplined focus on our capital investments. For the year, CapEx is expected to decline to approximately $250 million and our free cash flow will be in the range of $380 million to $400 million. A summary of our 2024 financial guidance can be found on Slide 36. Looking ahead to the third quarter, we expect both reported and organic revenue will decline at a mid-single-digit rate year-over-year. Non-GAAP earnings per share is expected to decline in the low double digits year-over-year as the impact of lower DSA demand will only be partially offset by the benefit of restructuring initiatives. The year-over-year revenue growth rates in the RMS and manufacturing segments are expected to rebound from the difficult comparisons in the second quarter, which were affected by the timing of NHP shipments in the RMS segment and the strong prior year comparison in the manufacturing segment. In conclusion, our critical focus at this time is continuing to execute our strategy, to rightsize the business and to turn around the financial performance. We believe that accomplishing these actions will position the company to gain market share and emerge from this period of softer demand as a leaner, more efficient scientific partner for our clients. Thank you.
Todd Spencer: That concludes our comments. We will now take your questions.
Operator: [Operator Instructions] We'll go first this morning to Matt Sykes of Goldman Sachs.
Matt Sykes: Maybe just on a higher level, just thinking about your commentary about global biopharma it seems that demand really took a bit of a hit post the -- in Q2 and post that. And as you think about that client base and you think about sort of the cost cuts that have been going on, they've been going on for some time now, what kind of rationale can you give for the increased deceleration of that demand? And just given the size and scope of these organizations, do you think it's going to take lot longer for that to come back, just given that it's going to be difficult for them to pivot so quickly?
Jim Foster: It's certainly difficult for us to call the timing. This is a pretty unexpected and rapid deterioration of the large pharma companies business. The good news is we have a disproportionately large share of big pharmaceutical companies' work, particularly in the safety assessment business. So that's great on the one hand. On the other hand, of course, as they begin to ratchet down their cost structures, that causes them to reduce their overall demand. The pharma companies have -- go through multiple processes every few years to try to lean out their infrastructures. They do sometimes an adequate job, sometimes they don't. I think the IRA legislation, coupled with the impending patent cliff has made it essential, maybe with the exception of the 2 prominent companies that have GLP-1 drug. So rapid deceleration and cutbacks, disproportionate impact on us, reprioritization of pipelines, some of the companies seem to be through it. Some are probably in the midst of it, may take longer for others. It's tough to get a very good line of sight. We have very high-level contacts in all of the drug companies. We're dealing sometimes with the head of R&D and sort of minimally with the number two or three person in R&D. And it's clear that so many of these decisions have been made and are still being made sort of at the C-suite level or the board level and there are profound cuts at big pharma, which some of the people that we're working with don't necessarily have a line of sight or certainly not an early line of sight, so they could warn us and work with us. So we're their partners. We respect and appreciate the opportunity to be so. It doesn't mean that we have early indications of what these folks would do. So it's a little bit impossible to call. But what we said in our prepared remarks, and I'll just repeat is we've seen a slower recovery in biotech, although it's been recovering, and we've seen this very soft demand and cutbacks in pharma. It feels like that's likely to persist into 2025. There's sort of no logical reason to believe that, that somehow gets curtailed subject to my comments that it's very, very, very difficult for us to call pharma in the aggregate. But it's clear that their emphasis is on the clinic, to get drugs into the clinic, to do -- to pay for their clinical trials and obviously to get drugs into the market. And it would seem, I don't know, seem logical that they would continue that for some period of time.
Matt Sykes: And then just on DSA and given -- and noting the comments you made on the commercial restructuring and shift in go-to-market, is there a market share issue going on here? Or would you still chuck this up to overall macro pressures?
Jim Foster: Yes. We think that -- we're obviously biased, but we think we have a fabulous portfolio that's quite unique. We have a much larger geographic footprint, particularly in Safety and Discovery. We have exquisite and deep science. And we have had to, in appropriate cases, be aggressive with our prices. I think we'll -- through the back half of this year, we'll have to do more -- we'll have to do more of that. So we certainly don't think that we're losing share. As we continue to refine our sales organization and structure, its use of IT, its use of Apollo, which is one of our early digitization platforms to allow the clients to get data faster and easier, some pricing and some aggressive time lines and also utilizing the whole portfolio, which I do think we've talked about a lot, which -- and can do better. In other words, our greatest competitive advantage is that we can work with the clients across this very large nonclinical portfolio, which virtually none of our competitors can. So we think this is a market shift very. It's sudden with pharma, kind of gradual with biotech, although getting better. And we certainly don't want to do anything to impair the quality of our science. But as we said earlier, we're going to work hard to lean out our infrastructure, both in terms of staff and facilities and certainly G&A so that we can respond to whatever the market demand is going forward in an effort to do the best job we can to have the most positive operating margins possible in the midst of a slowdown in demand.
Operator: We'll go next now to Eric Coldwell at Baird.
Eric Coldwell: I was hoping to get a quantification of the impact of the bonus accruals. I know you said it was the majority or a big chunk of the earnings upside versus implied guidance, but could you quantify that amount? And then tell us how much might be left in the second half to help protect earnings in the second half? Or did you take care of all of this with the second quarter?
Flavia Pease: It's Flavia, I'll take that one. It was approximately $20 million in the second quarter or about $0.30. And the second quarter was a true-up for the first half of the year.
Eric Coldwell: 2Q was a true-up for the first half. So what happens in the second half?
Flavia Pease: You can expect also additional favorability that would come through the second half as we updated guidance for the full year. So we will probably have additional favorability following through.
Eric Coldwell: And was this -- how much of this was in DSA as opposed to perhaps research models? I think you kept guidance there basically. So I'm assuming this is pretty much all DSA, is that fair? Or also at the corporate level?
Flavia Pease: You're correct. It's mostly DSA and at the corporate level. The other 2 segments, as you pointed out, are performing well and in line with the plan. So the majority of the impact is at corporate and DSA.
Eric Coldwell: And I know first half was, I think you said, minus 7%, I'm toggling in a lot of numbers here. But second half, minus 10% organic in DSA. So would we be assuming a maybe a ballpark 50% more accrual reductions in the second half than you did for the first half year in the second quarter? Is it $30 million in the second half?
Flavia Pease: Yes. I we're not going to get to that level of specificity. I think, as I said, there will be additional favorability in the second half just because the true-up that we did so far was only for the first half.
Eric Coldwell: And then the minus 10% organic in 2H, I think you've kind of talked around this with the last question. But do you think that is a proxy for the overall Discovery and Safety market, both in-house and outsourced? You think you're doing a little better or a little worse than the overall market here in the second half? What's your read on that? And what I'm ultimately trying to get to is I know RMS historically was much steadier, sturdier during soft patches here in toxicology and Discovery. You historically have outperformed in RMS. But you have to think that this kind of a reduction in overall demand has to have some knock-on effects to models and it sounds like you're already seeing some knock-on impact in services. So I'm just trying to get a better sense of what the read is on research models and services growth going into 2025. The safety and tox demand is down in the zip code of 10%.
Jim Foster: We feel like we're holding our own, certainly, from a competitive point of view, I would say, across the entire portfolio. Certainly in RMS, both from a product and services point of view. And like for a relatively long time, we've had modest volume declines with meaningful pricing declines across the world. So that will persist. China is quite strong, notwithstanding some of the political issues there. Europe is quite strong. And services have been strong now for -- I don't know how long, Eric, maybe a decade. The GEMS business is a little softer than we would like just because of the slowdown in both client bases, pharma and biotech. But we think that's a critical element in doing basic research. And our CRADL initiative is definitely in times of economic stress, which I think a lot of our clients are in, that's a really good solution for them. So we have a little bit of facility overlap, maybe a little bit too much capacity in some locales, opportunities to have more capacity in other locales. So that business should hold up well. Manufacturing business definitely should hold up well. Definitely, principal amount of pressure is in DSA. But if you just look at the SA portion of that, a lot of drugs were parked or have been parked or will be parked by our clients before INDs were filed. So they have a drug that they like, they have a certain amount of cash to spend and they prioritize, they will get back to those next. And so we're seeing a lot of emphasis on post-IND work that will shift to classic IND work. And then at some point, when they feel that the coffers are stable, will get back to more significant spending in core discovery. But of course, as we all know, there is no future. There is no preclinical. There is no clinical without discovery, so that business should improve as well. Time frame, obviously, is a little bit difficult to call. And we think that will be the last thing. that recovers.
Operator: We'll go next now to Elizabeth Anderson with Evercore ISI.
Elizabeth Anderson: If we think about how you're flowing this through, particularly in DSA, and sort of a mid-single-digit organic revenue decline in the third quarter, what have you seen in sort of the July time frame? Is that sort of stable to how you saw 2Q generally? Would you say things are still getting a little bit worse? I'm just trying to understand how you thought about the sort of flow-through relative to how the quarter progressed?
Jim Foster: I think I call on that is that the biotech companies continue to improve slowly, more slowly than we had anticipated or that we liked. But just in terms of proposal volume and bookings, definitely better. We spent a fair amount of time over the last few months really studying the trend because I just want to remind everybody on this call that do several things. Number one, as I just said earlier, we have the preponderance of work, particularly safety work for big pharma. Number two, big pharma was fabulously strong for us last year, unusually strong because so much of our growth has been driven by biotech. We saw a very strong pharma growth last year and solid pharma growth for the first half of this year. And then we see this sort of rapid decline. And so it's taken us a while to study. It's tied to clients to really understand what was behind it. We're certainly seeing it persist into July. As I said a few moments ago, while this is absolutely -- if you look at the big pharma companies, an industry phenomenon of cutting back funds and infrastructure and, of course, a pipeline, they are in different phases of it, although it does seem that most of them are doing it in the same time. At some point, they'll find C level there and they'll put the spending into those drugs, which are post-IND and in the clinic. And we hope that future progresses that they will find more of our IND work. The IND work is obviously extremely important. And as a percentage of the cost of developing a drug, quite trivial. So we do think that they'll have the money to do that at some point, and that's important for the future. Following that with any specificity at the moment is just a bit murky, given the suddenness and the unexpected nature and the meaningful nature of this pullback.
Elizabeth Anderson: And Flavia, maybe one clarification question just for you. I know you talked about potentially doing some share repurchase agreement. Is there any share repo built into the new guidance range? Or we should consider that to be separate?
Flavia Pease: I would consider that to be separate at this point, Elizabeth. As I said in the prepared remarks, we'll be looking to start executing on it in Q3, but the impact is going to be de minimis in this year still.
Jim Foster: So it's not in the numbers.
Flavia Pease: Correct.
Operator: Thank you. We'll go next now to Dave Windley at Jefferies.
Dave Windley: Jim, I'm wondering, in the restructuring actions that you're taking, sounds like you're ramping those up. I'm wondering how much optionality are you thinking about relative to range of outcomes? And I guess I'm thinking range of outcomes on a couple of vectors. One, you're talking about large pharma's rapid decline in a short period of time, and hard to see how that plays out from this distance into late this year and next year. And then while small biotech funding has improved year-over-year, it kind of peaked at the beginning of the year and has been fading through the year in a way that given economy, politics, et cetera, may not continue to improve. And if that were to be soft and kind of truncate the recovery of biotech, how might you be able to react to that as well?
Jim Foster: Let me take a shot at that and then Flavia can jump in as well. As you said, biotech funding has been strong. It was particularly strong in the first quarter. Second quarter was okay. July wasn't great. So I don't think any of us know, Dave, but you may be right that it's cooling off a bit. Having said that, we've had a proliferation of proposals and some improvement in bookings as well. So much of it is psychology, though. So I think our client base is nervous about the consistency of the availability of cash. Obviously, they're going to continue to be conservative. And I think pharma has a lot of work to do in terms of trying to get their infrastructure where they want it to be, given the impending patent cliff. So look, all we can say -- and even though it's a long time, this isn't always, always for us and I think we do this well. We have to get our capacity. And by that, I mean, human capacity and physical capacity, in line with our expectations for growth and demand. We always have to call it, I don't know, 12 to 24 months in advance. So our CapEx investments in growth in a bunch of areas, obviously, will slow down dramatically, has slowed down dramatically and will continue to. Half of our costs -- at least half of our cost is staff. So we've already made some cutbacks and we'll look to do more starting at the end of this year through next year. And we've had some small facility consolidations, and we'll look at perhaps larger ones to see whether those are appropriate. We've done a really good job over the last decade of having capacity really well utilized across all of our businesses. And indeed, as you know, been able to add space without impairing our operating margins. So we, I think, are in the midst of and will continue to scale back both of them commensurate with what the demand is. '25, a little bit tough to call, but as I said a few moments ago, it's hard to believe that the pharma pullbacks won't continue and persist to some portion of next year. If you are right that we're beginning to see a cooling off of biotech, which we try to be careful with calling trends, Dave, because it was actually a pretty good first half of the year. So I don't know what the election will do. I don't know what the wars will do. I don't know what any of those things will do. But assuming that it's stable and doesn't get worse, I do think that biotech work and volume could continue to improve for us just because there's still hundreds of new companies minted every year that don't have any internal capacity and we work with a lot of the VCs and a lot of those portfolio companies. So we need to watch it very carefully. Obviously, we need to call it today. We've called a lot of the savings, $150 million, $100 million of which will hit in this year. We've already called that and have implemented a bunch of it and we'll continue to. And then we will, for sure, do more next year.
Flavia Pease: And Jim, I don't have anything else to add. I think you covered it comprehensively.
Dave Windley: So then my follow-up around pricing, I believe your commentary is talking about modest positive price impact in 2Q, but expect that to flip negatively. I know Eric kind of got at this -- but I'm wondering -- we've certainly heard and you and I have talked about some fairly aggressive price discounting by your peers. And I'm wondering kind of the balance as you think about where you feel like you have to chase that down versus maybe some of your softness in bookings is just refusing to chase that down. And maybe you could help us to understand the balance there and how you think that plays out and to what extent you've included price pressure in your margin assumptions for DSA in the back half of the year.
Flavia Pease: Yes. I'll take especially the latter part of the question. So Dave, the pricing -- the dynamics of pricing that we've experienced so far through the first half as well as what we anticipate the trends to be in the second half, and as I said, exiting the year with slight price decline in DSA have been considered in the margin. I'll add some comments on the pricing dynamics and welcome additional color by Jim. But as we said it in the first earnings call, we are being selective. And where it makes sense, we are providing some discounts depending on the nature of work, depending on the start of the work. There's pockets of the work that we do where not a lot of competitors have those capabilities. And in those spaces, we don't feel like we need to provide additional price incentives. There are other pockets that we are being selective and are ensuring that, as appropriate, we do not lose certain volume and certain business. So it's -- I think from a macro trend with the last couple of years, particularly in 2021 and 2022, pricing was extremely positive, higher than historical levels and it started to modulate last year coming into this year, as we said, it was still slightly up in Q2. But we are seeing a shift in trend and plan to exit the year with slight price decline in DSA. Jim, I don't know if you want to add anything else?
Jim Foster: There's no question, Dave, that our competitors principally use price as the lever. And so we don't like to chase it. We try not to. As we said sort of in the first half of the year, we reduced price pretty sparingly to certainly preserve share and to gain share. I just think it feels like it's going to be more pronounced in the back half of the year given the sort of pretty sudden pullback by big pharma and maybe some concern by our biotech clients about access to capital. So price, which for years became less of an issue and maybe for the last year or so, it's become more of an issue. As Flavia said, should become more pronounced in the back half of the year. We're anticipating that, that's embedded in our guidance.
Operator: We'll go next now to Patrick Donnelly of Citi.
Patrick Donnelly: Jim, I guess maybe one for you. Just as you think about some of these headwinds, it sounds like you're suggesting a few of them will linger into '25. I know you kind of said pharma pullbacks, it would be hard to believe that those don't linger into '25. So I guess, when you kind of think high level, which of these headwinds persist for several quarters and where you have visibility into things may be improving, I guess, just when you look at the backlog, cancellation rates, what are the areas of real concern as we head into '25 that you don't expect to improve at least at the start of the year? And where are you feeling maybe okay to start next year?
Jim Foster: Again, we're going to continue to have this tale of 2 cities. We definitely dialed into biotech and they have no internal capacity. So if they're in a preclinical phase or moving into it, we have a very high probability to get meaningful amount of that work. And as we've said to you for some period of time, they historically have been a little less price sensitive than big pharma. I know that's a surprising comment, but it's true. So I think we're very much in touch with that marketplace. As I said earlier, it's very much about the psychology of access to capital. So we just have to see how the capital markets unfold. I mean, a little bit rocky right now. The summer is also a very difficult time to call it. There's maybe a dozen pharma companies left. We're very close to all of them. We have a very high-level relationships. I'd say the majority of them don't do the work internally. So they're also quite dependent on us. They adjust, and with a lot of them, we have long-term pricing arrangements. So that's -- while there will be some pressure on price, it's just going to be more about volume as they cut back and try to preserve their cost structure. So as we said, we're going to see that persist. I would imagine biotech becomes more positive, faster than big pharma who I think has some major restructure -- major structural improvements to make it because there's no way they can make them overnight. They're going to look to us to help them make them. So CRADL will be important. I do think Safety will continue to be important. And definitely, all of our Manufacturing segment will be increasingly more important to them. So for us, it's again, we have a very strong portfolio. We think it's scientifically superior to all of the competitors, both individually and in the aggregate. We just have to lean out the infrastructure dramatically, so that we're a little bit not as tied to the time frame, assuming that it's softer for longer than we think. But we just don't see any reason why this would change for us for 2025, given that we're not [indiscernible].
Patrick Donnelly: And maybe following up on a few of your points there. I mean, in terms of the softness on the pharma side, are you seeing it -- it sounds like it's more broad-based versus concentrated on just a few customers. And then also in your conversations with customers, are you seeing it more on where you play in the discovery preclinical? Or in your view, is it this broad-based softening kind of across pharma spend?
Jim Foster: So it's definitely broad-based. We're seeing it with every client, and as I said before, we have very large market shares and huge for us, very -- increasingly large dollar volumes. across all of big pharma. And with the exception of the two companies that are making GLP-1s, virtually all of them are going through substantial cutbacks of staff, facilities and portfolio at the same time. Having said that, there's no question that it disproportionately adversely impacts, I don't know, some of the tools companies probably, definitely folks that are playing in discovery and safety to the benefit of clinical work. So it's all a big portion. By the way, that's where most of the money is spent anyway, but it's all a push to get drugs into the clinic and to try to get as many drugs into the market. It's possible that so far for new drugs that have been approved is meaningfully behind the prior year. So I think that's also another problem with them. So they see a patent cliff. They're sort of working really hard to get more drugs into the clinic and into the market. That's not easy to do. They've got the IRA legislation to make that a bit more complex, a lot of competition around similar targets, similar types of molecules and they definitely just have too much to fight off right now. So again, it's difficult to know, I won't say even predict, to know how long there will be a disproportionate focus on the clinic. But we know it can't be forever or there is no pharmaceutical industry. We know that they have to use, hopefully, drugs that successfully get to market to fund more work on the IND phase, and then ultimately, more discovery to start. So we've seen this before. I typically personally don't think there are cycles in this business. But in times of economic stress, sort of -- I don't think the situation is as bad, but we saw in 2009, '10, '11, '12, we had a similar period where our client base pretty much on a broad gauge basis is watching and spending carefully and all we can do -- look, we're merely reflections. We are merely a reflection of the aggregate amount of work of big pharma and biotech data. Obviously, that's what we do, right? We don't have any of our own molecules. And while we have an increasing amount of services in and around the clinic, so that's good. Our manufacturing business should continue to do well as we said in our guidance because that's in and around the clinic. The preponderance of our work is in discovery and preclinical, which is less emphasized right now, certainly by the big drug companies.
Operator: We go next now to Tejas Savant at Morgan Stanley.
Tejas Savant: Jim, sorry to come that same sort of theme. There's a couple of I guess, remarks you made that I just want to unpack a little bit, right? I mean, generally, in the past, when we've had patent cliff concerns, pharma companies have almost wanted to double down on R&D so that those pipelines or the revenue hole gets filled. It seems to be sort of different this time. So any sort of color on that? And then on the IRA, what has changed in the last couple of months here. Pharma companies, were they actually sort of like optimistic of reversing this entirely in court? Is it a view on election outcomes making them nervous? Because most larger drug companies who went through that drug negotiation process seems to have come out of it feeling reasonably okay with the fallout from the outcome. So maybe you can just elaborate on those two aspects. And then I have a follow-up.
Jim Foster: I mean this is unusual activity for our pharma clients who obviously we've been servicing forever, and that was our principal source of revenue and there's obviously a meaningful source of revenue right now. I think your comments on IRA are accurate except we're surprised that we're hearing more about it lately. So I don't know what sort of restarted that. But almost all the clients have mentioned that. They're mentioning the patent lifts even more. So the notion that they would double down on our R&D to try to offset that, which actually at least on the -- or an early depart makes a lot of sense. Strategically and structurally and organizationally, we just don't see them doing it right now. It's just, as you know, it takes longer to get drugs into the clinic. It takes longer for them to get to market and it costs a lot more. So they just have to work on a smaller number of drugs to offset the impending impact from so many of them, some many of the patents coming off. So feels like unusual activity. It also feels unusually profound and sudden. And as we said, we used the word unexpected because we're really close to these folks and we deal with them every day and we're their service provider, and in many ways, an extension of their own internal facilities. And yet it's not like they said to watch a year ago. I just want to tell you we're going to be -- we're going to emphasize clinical work to the detriment of preclinical so you need to prepare for that, we'll be doing less work with you. So we didn't get that sort of warning or dialogue. I think we're increasingly closer to our clients. We feel that we're sitting on the same side of the table with them. I think a lot of these decisions have been taken relatively recently and probably more to come and haven't been taken yet.
Tejas Savant: And then one on sort of the potential for benefit from the BIOSECURE ACT. I think you alluded to it in the context of the CDMO business. But as you think about sort of potential sort of share gains even within Discovery Services or biologics testing solutions, any color on just dimensioning the potential upside there? And then a quick cleanup on net interest expense for Flavia. So just given that your debt is essentially 80% fixed, you won't benefit from the interest rate cuts, but the interest income might actually go down as well, right? So how are you thinking about that dynamic into the fourth quarter and sort of potentially into 2025?
Jim Foster: I think it's hard to believe that the BIOSECURE ACT won't have a positive benefit to the demand curve for us across lots of what we do, right, biologics, CDMO for sure, some safety, some discovery. I mean it's pretty profound, and there's a lot of Chinese competitors in that space who compete with us principally on price, but have very good scale and our clients have been quite happy with them. And while it's quite clear to us that, that should have a positive benefit, as we said, I think, on our last call or some of the interim conversations we've had at the investor conferences, there's been a very small amount of both conversation and interest and a tiny amount of work that has come with us. So we don't -- we want to be careful not to overstate the potential, although we think there is a potential over time. So we just have to watch and see how it rolls out, see what the ultimate language is, see what the severity is and see whether clients follow. We did say, I think it was on our last call, that we had meetings with a couple of very big venture capital firms with whom we work who said they had, "Instructed their portfolio of companies not to do work in China." And we thought that was an unusually strong inter -- sort of interference with what these portfolio companies do. They didn't say we would prefer you don't use China. They said, we don't want you to. So that gave us an indication that, that might be something that expands. These are VCs that are creating new companies from scratch and the fact that they don't even want to start with China, quite interesting. So it feels like it should have a greater head of steam, doesn't seem to have much right now. A lot of talk about it. So obviously, it's not built into anything that we're saying for this year, and we'll see whether there's any changes post-election on this. And I'll let Flavia take the interest expense question.
Flavia Pease: Sure. And Tejas, given that the -- any change in interest rates by the Fed will likely be at the end -- the tail end of the year, the timing of these reductions will not really have any meaningful impact on our outlook. Not to mention also 80% of our debt is fixed until November when we have the swap on the $500 million expire. I know you talked also about could that put pressure on your interest income. But we try to keep very little cash, obviously, given that our objective is to pay down debt. So that would be de minimis as well. And in terms of outlook for next year, anything that the Fed does in terms of bringing interest rates down will obviously be positive for us because we will have a little bit less that fix given the swap will expire. And so the amount of floating of our debt will increase. And if interest rates come down, that would actually be positive for us.
Operator: We'll go next now to Casey Woodring at JPMorgan.
Casey Woodring: I guess first quick one. What's your assumption on NHP pricing in the context of the comments you made today on DSA pricing pressure in the back half of the year? And I just have one quick follow-up.
Flavia Pease: I can take that one, Casey. So -- and I'll separate it a little bit because I'm assuming that your question is more focused on NHP pricing in the DSA business, but I'll also provide some commentary on NHP pricing when we sell it to third parties, which is reflected in the RMS business. So for DSA, NHP pricing was still slightly positive in the second quarter as we, I think, indicated. And it's off from the peak levels of last year, but still positive. It will probably follow the same pattern as overall pricing for the DSA business, so probably modulate to slightly decline in the tail end of this year. Shifting now to the NHP pricing within RMS. Obviously, we have 2 parts of that business, I think, as we have commented since we acquired Noveprim. We have the NHP sales in China for China. And then we have now NHP sales through the Noveprim acquisition. So in China, prices have come down and they have been reflected in our results so far this year, and we'll continue to expect them to be at the levels that we're experiencing them today. And then in the case of Noveprim, prices are stable. They -- these agreements are long-term relationships and we haven't experienced price pressure there this year and do not expect it to happen in the second half of the year.
Casey Woodring: And then you mentioned cancellations are still not back to target levels and net book-to-bill was below one again this quarter. Just curious how much of that cancellation number in the quarter was from large pharma versus biotech? The impression in the past have been a lot of the cancellations have been from biotechs that couldn't pay for the work that they had booked too far in advance. But now with the large pharma restructuring you called out here, just wondering if that's really driving the heightened cancellations here? And what's the expectation for cancellations is moving through the rest of the year?
Flavia Pease: No problem. I'll take that one as well, Jim. And you're correct, Casey, the cancellations for sort of biotech, small and mid-tier companies, actually was a slight sequential improvement from Q1. So less cancellations. And global has actually picked up between Q1 and Q2. So sequentially, it was a deterioration, more cancellations for global in Q2 and an improvement for mid-tiers as you had guessed.
Operator: We go next now to Luke Sergott at Barclays.
Luke Sergott: So I just wanted to talk about the -- I know you guys are taking out costs and aligning the costs with the demand. But as the as that demand starts coming back in DSA, how quickly can you spin up those resources again? And just trying to think about the timing, is it like a quarter ahead given the visibility that you guys have? Or is it kind of it will happen -- have to happen in real time?
Jim Foster: We have to hire even direct labor probably a quarter ahead, that's a good time frame. It's kind of 3 to 4 months to train people that have no background in this work. So not a long period of time, but the people really can't start to contribute the next day. So we try and I think have been successful in staying ahead of that curve. Can't take on new work with without sufficient staff. So think it should be relatively straightforward to get those -- to hire those people or hire them back or hire people. Obviously, senior scientific people and [Indiscernible] directors and things like that, it's much more complicated we were going to hold on to those people as we continue to refine our infrastructure.
Luke Sergott: And then this goes on, I guess, on tail end of Matt Sykes was asking about the prioritization. I mean, this market has been kind of -- this part of the business has been soft for a while with pharma continuing to rationalize this discovery work and keep those budgets tight. Like how long do you think that they can maintain this tight budgetary environment or continue to cut there without it starting to impact the later-phase work?
Jim Foster: It's a good question. I mean pharma is 50% to 70% of the drugs are externally accessed. So you're going to see pharma continue to do a lot of M&A of small, medium and large biotech companies. So I don't think there's going to be much M&A between pharma companies. So that's positive for them. Much of the work that they're doing, particularly in the areas that we work, are currently being outsourced. As they buy the startup or growth biotech companies, they are obviously going to continue to work, but they would buy those companies. So we should benefit from that as well, particularly if that biotech company is a client of ours or the pharma company buys as well. We haven't seen this level of pullback this severe in a long time, but we saw it years ago when there was another patent cliff. So that's just the fact that they can't deny, and they have to fill that hole as quickly as possible. Hence, the emphasis on the clinic. As we said a few times today, it's a bit of an imponderable to try to figure out when they'll reinvigorate pure discovery spending or IND spending. But the IND spending would come sooner than discovery. And it's all essential in terms of continuing to fuel the strength of their pipeline. So at some level, they have to do it all. They have to look at their own infrastructure from facilities, they have to look at it on G&A. They had to look at -- some of them are cutting back therapeutic areas. They have to really refine their infrastructure, which is not something, I think, the pharmaceutical industry has historically done on that well, but they're at the point now where it's really a necessity. So that should -- when the smoke clears, whenever that is, be a significant benefit to us since we do so much of this work -- can do so much this work for them with deeper science, with closer proximity, lower cost, et cetera, et cetera, like we have been for years. So we have to hang in there, get lean, watch our cost structure and try to be as responsive as possible from a sales point of view so that we minimally hold on to share and maximally take share of new work.
Operator: We'll go next now to Michael Ryskin at Bank of America.
Michael Ryskin: Given the time, I'm on just going to keep it to one question. I hear your commentary and everything that's changing your view on DSA and yet you're maintaining the guide for RMS. I realize different businesses there, slightly different exposures. But I'm a little bit surprised you're not worried about at least some bleed-through if the pharma pullback is this significant and potentially this protracted that you wouldn't see at least some impact in RMS as the year went on and possibly next year as well. So just curious what gives you confidence in that segment?
Jim Foster: I think we're probably already seeing a little bit of a bleed-through, just to use your language, in North America, which has been a bit slower, and of course, that's where all most of biotech resides. Conversely, Europe, which has less biotech and ironically lots of pharma, has been solid. China is still growing really nicely. That's a function of capital going into life sciences. Just the scale of the country and the scale of our operation because we built some new facilities. So we feel pretty good -- we feel pretty good about our guidance there. We've always gotten price in RMS forever. None of our clients produce their own animals and the competition is relatively small. And while the service parts of RMS are a bit slow at the moment, it's still quite substantial. They've got good operating margins. And they are part of the solution for the clients watching the cost structure. So we would imagine that, that work will stabilize as well. So I think as we said, RMS will continue to do its thing. Our guidance is only 0 to low single digits. So we certainly feel quite confident about our ability to deliver that for the 3 or 4 reasons I just gave you.
Operator: And ladies and gentlemen, we have time for one more question this morning. We'll take that now from Max Smock of William Blair.
Max Smock: I'll keep it to one question as well. I just wanted to follow up on some of the prior questions around market share, given your commentary is a bit out of line with what we heard from one of your competitors last week. I was just hoping you could give some detail around how your win rate in DSA has trended so far in 2024 and whether you've seen that hold up for new proposals more recently or if there's any sort of drop off to call out here?
Jim Foster: Our win rate in Safety has been quite high and pretty consistent over a long period of time. So when we go head-to-head given our overall portfolio, given the geography, given the depth of our science, we'll almost always win until there's a serious conversation about price with a client that's just worried about running out of cash. And then they are more open, I think, to compromise on the quality. I don't think that's a big issue when -- and often we don't even bid on that work. There's some very small competitors who really compete entirely on price. So our market share is still quite substantial. It has been growing our win rates have been good. The proposal volume has been quite significant. And the bookings have begun to improve, as we said in our prepared remarks, just not at the rate that we would need them to improve to really invigorate the back half of the year. So we think that's going to be less positive than we thought and exacerbated by pharma pulling back at the same time. But I think we continue to hold our own, do really well from a market share point of view with the entire client base, but certainly particularly biotech.
Flavia Pease: And Max, if I can just add, I think you alluded to one of our competitors that reported last week, if I saw it correctly, and it's a smaller piece of their business, but the piece that we compete more directly, I think their performance in the quarter was worse than ours. And so I think to Jim's point, we believe this is more of a market dynamic as opposed to a competitive dynamic driving the more negative outlook that we are forecasting.
Todd Spencer: I was going to just say, I apologize if we didn't get to some of the questions. It was running long. I will follow up, and thank you, everyone, for joining the conference call this morning. We look forward to seeing you at some of the investor conferences in September, and this concludes the call. Thank you.
Operator: Thank you, Mr. Spencer. Ladies and gentlemen, again, that does conclude today's Charles River Laboratories Second Quarter 2024 Earnings Call. Again, thanks for your participation. You may now disconnect.